Presentation:
Operator:
Ilze Roux:
Nompumelelo Madisa:
Mark Steyn:
Nompumelelo Madisa:
Ilze Roux:
Operator:
Ilze Roux:
Mark Steyn:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Nompumelelo Madisa:
Mark Steyn:
Nompumelelo Madisa:
Ilze Roux:
Mark Steyn:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Operator:
Nompumelelo Madisa:
Ilze Roux:
Mark Steyn:
Ilze Roux:
Mark Steyn:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Mark Steyn:
Ilze Roux:
Mark Steyn:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Nompumelelo Madisa:
Ilze Roux:
Nompumelelo Madisa:
Mark Steyn:
Operator: